Operator: Good morning. My name is Jackie and I will be your conference operator today. At this time, I would like to welcome everyone to the Genuine Parts Company First Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Sid Jones, Vice President of Investor Relations. Please go ahead, sir.
Sid Jones: Good morning and thank you for joining us today for the Genuine Parts' first quarter 2015 conference call to discuss our earnings results and outlook for the full year. Before we begin this morning, please be advised that this call may involve forward-looking statements regarding the Company and its businesses. The Company’s actual results could differ materially from any forward-looking statements due to several important factors described in the Company’s latest SEC filings. The Company assumes no obligation to update any forward-looking statements made during this call. We’ll begin this morning with comments from Tom Gallagher, our Chairman and CEO. Tom?
Tom Gallagher: Thank you, Sid. And I would like to add my welcome to each of you on the call today and to say that we appreciate you taking the time to be with us this morning. Paul Donahue, our President; and Carol Yancey, our Executive Vice President and Chief Financial Officer are both on the call as well, and each of us has a few prepared remarks and once completed, we’ll look forward to answering any specific questions that you may have. Earlier this morning, we released our first quarter 2015 results and hopefully you've had an opportunity to review them. But for those who may not have seen the numbers as yet, a quick recap shows that sales for the quarter were $3.736 billion, which was up 3%, net income was $161 million, which was up 2%, and earnings per share were $1.05 this year compared to $1.02 in the first quarter last year, and the EPS increase was 3%. And although these sales and earnings growth rates have moderated from the results in recent quarters, they are pretty much in line with what we anticipated for the quarter and as such we feel that we came through the quarter in pretty good shape. We knew at the beginning of the quarter that we were facing tough comparisons with first quarter 2014 revenues up 13% and earnings per share up 10%. Additionally, we felt that the strength of the U.S. dollar would be a significant headwind for us and as it turned out, this cost us 2% on the revenue line in the quarter and $0.02 in earnings per share. And then weather had a bit of a negative impact as that did a deceleration in the oil and gas segment of the economy. So all in, we feel that our teams did a pretty good job in navigating their way through the quarter and we remain optimistic about the remainder of the year. Turning to the sales results by segment, I’ll make few comments on each of the three non-automotive businesses and then Paul will give you an update on the automotive operations. Starting with Office Products, S.P. Richards turned in another strong quarter at plus 17%. Acquisitions completed in 2014 certainly helped as did the enhanced first call relationship with one of the mega companies. But importantly, the underlying business performed well also with solid growth in both the mega and independent reseller channels. The e-commerce an alternate channel customers performed well in the quarter as well. From a product category perspective, all four categories, technology, facility and breakroom, furniture and core office products each showed nice growth in the quarter and we are pleased with the balance and the composition of our office products growth, both from a customer and a product category perspective. And we feel that the office products team has positioned to turn in the solid performance over the remainder of the year. Moving on the Industrial segment, Motion industries ended the quarter up 3%. 11 of our top 12 product categories generated positive results in the quarter and nine of our top 12 customer groups grew nicely in the quarter. Our strongest results came from customers in automotive, coal aggregate and cements, lumber and wood products and rubber and plastic products. And this follows a relative strength of each of these segments in the overall economy. We had weaker results in oil and gas, pulp and paper, and steel again mirroring, what we see happening in the overall economy. As we look ahead, we’re mindful of the deceleration that we have seen in the industrial production; capacity utilization and Purchasing Managers Index over the course of the first quarter and each of these have been reliable leading demand indicators for our industrial business, so we’re watching them closely, but despite the modest deceleration, it’s important to note that each remain at historically healthy levels. And at this point, our industrial team remains optimistic about the reminder of the year. Perhaps partly driven by the fact that our pending project work is up substantially over the same period last year, which is encouraging. Moving on to the third of our non-automotive businesses, EIS was up 1% in the quarter. Some of the same factors that impacted our industrial business were headwinds for the electrical segment as well. Things like the deceleration in the oil and gas customer segment, the strength of the dollar impact on export related customers, lower defense spending this year versus last, and the lower copper pricing again this year. To one degree or another each of these will continue to be factors in the quarters ahead. However, we were encouraged to close out the first quarter with a solid performance in March. And then our team feels that they’re starting to build a bit of momentum as we enter Q2. Additionally, they completed the acquisition of Connect-Air into the wire and cable segment as of April 1st and this will add about $28 million to their annual revenue. So that’s a quick overview of the non-automotive business. I’ll now ask Paul to comment on the automotive segments. Paul?
Paul Donahue: Thank you, Tom. Good morning everyone and let me add my welcome to our first quarter conference call. I’m pleased to join here today and have an opportunity to provide you an update on the first quarter performance of our automotive business. For the quarter ending March 31st, our global automotive business sales were flat year-over-year. This performance consists of approximately 3% core automotive growth. The benefit of just less than 1% from recent acquisitions, which are offsets by approximately 4% of currency adjustments. The currency adjustment was in line with our expectations for the quarter. When reviewing our quarterly performance, we knew going into the quarter, we were up again strong comps from one year ago and part driven by the extreme cold winter weather. Unfortunately, Mother Nature did not cooperate this past winter. We saw a little benefit as a result of the winter temps and in fact a heavy snow and ice experienced in places like Boston and a good portion of the Northeast create challenges for our operations and our customers. In addition, like many businesses, we felt the impact of the West Coast port slowdown and the effect that had on our overall supply chain. During the first quarter, we saw our U.S. team posted 3% sales increase, while our international businesses including Canada, Mexico, Australia and New Zealand grew mid single-digits in their local currencies. Overall, we’re pleased to see steady growth in all of our markets and expect to see steady growth for the balance of 2015. In the U.S., all regions within country are positive contributing to our revenue growth with the exception for the – few of the more energy dependent areas of the country. As we saw in the fourth quarter, we experienced continued strength in the Atlantic division, Midwest, and western divisions. In addition, our southern division had a solid first quarter. So now let’s turn to our same-store sales numbers. Our U.S. company owned store group grew comp same store sales in the first quarter by 3%. This 3% is on top of an 8% increase generated in the strong first quarter of 2014, which gives up a two year stack of 11%. This performance was not unexpected due to the tough comps we were up against, but we would also like to point out that we expect this number to improve as the year progresses. A 3% sales increase in first quarter was driven by a combination of solid sales on both our commercial wholesale side of the business and on our retail side of the business. So let’s start with our retail business. As mentioned in previous calls, we have put a renewed focus on this segment of our business. We’re pleased to report, these initiatives are continuing to pay dividends. Our team did a good job in the quarter driving a 6% increase on our retail business, which was on top of a 9% increase one year ago. Retail basic such as extended store hours, proper staffing, dedicated retail associates, planogram compliance and increased training have all had a hand on our recent improved performance. We continue to push for increases with both the size of our average ticket and the number of tickets flowing through our stores. In the first quarter, we experienced an increase in our average retail ticket and an increase in the number of retail tickets. This performance was consistent with our fourth quarter metrics, so it’s encouraging to see our average ticket in whole. We would like to complement both our retail team at headquarters as well as all of our associates on our stores for stepping up and embracing our retail initiatives. We still have a great deal of heavy lifting yet to do, but it’s clear, we’re on the right track and the opportunity for growth is there. So now, let’s turn to our commercial wholesale business or our Do It For Me segment. This segment turned in a 3% increase in the first quarter. Highlights for the quarter include solid performances by our two major wholesale initiatives, NAPA AutoCare and Major Accounts. Starting with our Major Account business this strategic segment delivered its seventh consecutive quarter of low double-digit growth, a terrific accomplishment by our entire Major Accounts team. And our NAPA AutoCare centers, now totaling over 15,500 nationwide, posted strong single-digit sales increases in the quarter. We’d also like to report on our fleet business, after reporting a solid increase in this important segment in 2014, we posted a mid single-digit increase in the first quarter of 2015. So we’re pleased to see the continued growth in this important segment of our business. We can also report solid trends in our average wholesale ticket value, which registered positive growth in the month with no inflation support. We also saw positive year-over-year growth in the average number of tickets flowing through our stores. Now let’s take a look at few of our key product categories and review some of the trends we experienced in the first quarter. We are pleased to report continued growth in both our Bright business, as well as our tool and equipment business. In addition, our NAPA Import Parts business was up low double-digits once again this quarter. One additional product category worth noting is our all important Electrical business, including our rotating and electrical product lines and our battery business. Despite double-digit growth in the month of March, we were up just over 1% for the quarter. It’s a clear illustration of the strong prior year comps that we faced in the January and February timeframe. It is worth noting that we experienced supply chain interruptions with one of our key under car lines in the first quarter that has now carried over into the second quarter. This interruption had an impact on our operations in our customers’ business in the quarter. We are diligently working toward a solution anticipate improvement in the weeks ahead. Despite the slower start to the year, we continued to be encouraged by the automotive aftermarket fundamentals. The average age of the fleet remains at excess of 11 years, the size of the fleet continues to grow and not surprising, the all-important miles driven metric recorded its largest growth in the past five years. As we reported last quarter miles driven up 1.4% through 11 months in 2014. Then in the month of December, miles driven increased by 5%, and most recent figures were January show 4.9% gain. This growth is a direct result of the lowest fuel prices in almost a decade and both well for future demand. So in summary, our first quarter was pretty much in line with where we felt we would end up. Foreign currency as expected was the significant headwind and we expect this to continue for several more quarters. That said, our business in our international markets continues to perform well in their respective local currencies. And as expected, we experience some softness in areas of the U.S. that are more energy dependent. And lastly, we knew going into the new year that we would be up against strong comps in the first quarter and we would need to weather the storm. We feel we did just that. We are encouraged with our same store sales and we remain optimistic with the outlook for the balance of the year. So in closing, we want to thank our management teams in North America, as well as our team on the ground in Australasia for a solid first quarter for the GPC automotive business. So that completes our overview of the GPC automotive business and at this time I’ll hand the call over to Carol to get us started with a review of our financial results. Carol?
Carol Yancey: Thank you Paul and good morning. We’ll begin this morning with a review of our income statement and the segment information and then we’ll review some balance sheet and other financial items. Tom will come back up to wrap it up and then we’ll take your questions. As Tom mentioned our total revenues at $3.7 billion for the first quarter, an increase of 3.1% consisted of our underlying sales growth of 3.8% and a 1.5% increase from acquisitions. These items were offset by a strong currency headwind at 2.2%. Our gross profit for the first quarter was 29.8% and this compares to 29.9% growth margin last year. This was in line with our expectations for a relatively constant gross margin in 2015, as the margin initiatives across all of our businesses are intended to offset the ongoing customer and product mix shifts that continue to pressure our gross margins. With that said, there’s slight decline in our first quarter gross margin directly related to the customer mix shift that we are facing in our Office Product segments. Looking ahead, we continue to expect a relatively constant gross margin in 2015 that this area has our full attention and we’re committed to making progress towards an enhanced gross margin for the long-term. Our gross margin initiatives are also critical in offsetting the low inflationary environment that has persisted across all of our businesses for several years now especially in automotive. Our supplier pricing thus far in 2015 indicates that we should expect more of the same lack of deflation again this year. Our cumulative supplier price increases through March were down four tenths of 1% in Automotive, up four tenths of 1% in Industrial, up six tenths of 1% in Office Products and up two tenths of 1% in Electrical. Turning to our SG&A, our total expenses were $861 million in the first quarter, which is up 2.5% from 2014. This represents 23.1% of sales which has slightly improved from the 23.2% last year and encouraging giving the underlying sales growth of approximately 4% for the quarter. We attribute this progress to the benefits of our ongoing emphasis on effective cost management and we expect this is our continued progress on our SG&A line in the periods ahead. Now we’ll review our results by segments. Our Automotive revenue for the first quarter was $1.9 billion, which was flat with the prior year and 51% of total sales. Our operating profit of $151 million is up four tenths of 1%, so their margin held constant with 2014 at 7.9%. This is in line that what we would expect on a 3% compared to sales increase. Our Industrial sales were $1.18 billion in the first quarter, which is up 3.4% for 2014 and 31% of our total revenues. Our operating profit of $88 million is up 6% and our operating margin increased 10 basis point to 7.4%. We’re pleased to, excuse me, to see the expanded margin given at 3% sales increase and we would add that this was driven by slightly improved gross margin for the quarter, as well as an improvement in their SG&A. Our Office Products revenues were $490.3 million in the quarter, up a strong 17%, and represents 13% of our total revenues. Our operating profit of $36.5 million is up 8%, so their margin was down 70 basis points to 7.4% as the customer mix shift pressuring our gross margins continues to impact the net margin for this business. Electrical/Electronic Group have sales in the first quarter of a $182 million 1% increase and 5% of our total revenue. Our operating profit at $15.5 million is down four tenths of 1%, so the margin was down 10 basis points that remain strong at 8.5%. So in total, our operating profit increased 3% in the first quarter, which is in line with our sales growth. Our operating profit margin held constant with last year at 7.8% and this follows the 30 basis point expansion in our operating margin for the full year in 2014, and we remain focused on our initiatives to show further expansion in the periods ahead. We had net interest expense of $5.3 million in the first quarter, which is down from $6.2 million last year. We continue to expect net interest expense of approximately $22 million to $24 million for the full year. Our total amortization expense was $8.6 million for the first quarter, which is fairly consistent with last year. We currently estimate $40 million to $42 million in total amortization expense for the full year. The other line which reflects our corporate expense was $25 million expense for the first quarter, which is up slightly from the $23.6 million in the first quarter of last year. We continue to expect corporate expense to be in the $85 million to $95 million range for the full year. Our tax rate was approximately 36% for the first quarter, which is up slightly from the 35.5% last year. For the full year we now expect our tax rates trend in the 36.7% to 37.0% range. Our net income for the quarter of $161 million compared to the $157.5 million or 2% improvement and as Tom mentioned our EPS was $1.05 compared to last year’s $1.02. Now we’ll discuss a few key balance sheet items. Our cash at March 31 was $166 million, an increase from approximate $103 million at March of last year. We continue to use our cash to support the growth initiatives in each of our businesses and we remain comfortable with our cash position. Our accounts receivable of $2.0 billion at March 31 increased 8% from the prior year on a 4% core sales increase for the first quarter. We remain focused on our goal of growing receivables at a rate less than revenue growth and we’ll be working hard to achieve this objective in the periods ahead. We continue to be satisfied with the quality of our receivables at this time. Our inventory at the end of the quarter was $3.0 billion which is up approximately 1% from March of 2014 and actually down 1% from year end. Our team continues to do a very good job of managing our inventory levels and we’ll remain focused on maintaining this key investment at the appropriate levels in the periods ahead. Our accounts payable balance at March 31 is $2.6 billion, up 12% from the prior year, due to the positive impact of improved payment terms and other payable initiatives established with our vendors. We shall continue the improvement in this area for several periods now and we are encouraged by positive impact on our working capital and our days and payables. Our working capital of $1.9 billion is down 3% from last year and effectively managing our working capital and in particular our accounts receivable inventory and accounts payable is a very high priority for our company. Our ongoing efforts with these key accounts have resulted in solid improvement in our working capital position and cash flow for the last several years and our balance sheet remains in excellent condition at March 31 of 2015. Our total debt of $894 million at March 31 is basically unchanged from the prior year and this represents approximately 22% of our total capitalization. Our total debt includes two $250 million term notes, as well as another $394 million in borrowings under our multi-currency syndicated credit facility agreement. We're comfortable with our capital structure at this time. We continue to generate solid cash flows and we’re well positioned for the balance of 2015. For the full year we expect cash from operations to be in the $800 million to $850 million range and free cash flow which deducts capital expenditures and dividends to be in the $350 million. We remain committed to several ongoing priorities for the use of our cash, which we believe serve to maximize shareholder value. Our first priority for cash is the dividend which we paid every year since going public in 1948, and have now raised for 59 consecutive years, a record that continues to distinguish genuine parts from other companies. The 2015 annual dividend of $2.46 per share represents a 7% increase from the $2.30 per share paid in 2014 and it’s approximately 53% of our 2014 earnings per share, which is well within our goal of a payout of 50% to 55% payout ratio. Our goal would be to maintain this level of payout ratio going forward. Our other priorities for cash include the ongoing reinvestment in each of our core businesses, strategic acquisitions and share repurchases. Our investment in capital expenditures was $16 million for the first quarter, which is down slightly from $18 million in the first quarter of 2014. We expect our expenditures to increase as the year progress and we continue to look for CapEx spending to be in the range of $125 million to $145 million for the full year. As usual, the vast majority of our investments will continue to be weighted towards productivity enhancing projects primarily in technology. Our depreciation and amortization was $36 million in the first quarter and looking ahead, we are projecting depreciation and amortization to be approximately $155 million to $165 million for the full year in 2015. Our strategic acquisitions continue to be an ongoing and an important use of our cash for us and they’re integral to the growth plans for our company. As reported on our year end call in February, we made a few small acquisitions in the Industrial and Office business early in the first quarter and these are performing well for us. Effective April 1, we close on two additional acquisitions, one for Automotive and one for Electrical, and we expect these two operations to contribute annual revenues of $35 million or approximately $25 million in 2015. We will continue to seek new acquisitions across our business segments to further enhance our prospect for future growth generally targeting those bolt-on types of acquisitions with annual revenues in the $25 million to $125 million range. Finally, during the quarter we used our cash to repurchase approximately 870,000 shares of our common stock under the Company’s share repurchase program. Today, we have 8.7 million shares authorized and available for purchase. We have no set pattern for these repurchases, but we expect to remain active in the program in the periods ahead as we continue to believe that our stock is an attractive investment and combined with the dividend provides the best return to our shareholders. So that concludes our financial update on the first quarter of 2015, overall solid results and in line with our expectations that we’re pleased with the first three months of the year and encouraged by the opportunities before us. We look forward to updating you on our future progress when we report again in July. And in closing I’d like to thank all of our GPC associates for the outstanding job that they do each day. That concludes our financial review and now I’ll turn it back over to Tom.
Tom Gallagher: Thank you, Carol, and thanks to you and Paul for your comprehensive updates. So that will conclude our prepared comments on the quarter, and as mentioned earlier, we ended the quarter pretty much inline with what we thought we would be. With that in mind we would like to reaffirm our full year guidance that we provided back in February and just as a reminder at that time we guided for Automotive revenues to be up 2% to 3%, which includes an estimated 4% negative impact from currency exchange. We guided Office Products to up 6% to 7%, Industrial and Electrical to each be up 5% to 6%. And based up on the current trends and the external indices, as well as softness in the energy and export sectors, our current bias will be towards the bottom end of the range for both Industrial and Electrical. Putting all of this together would give us an overall GPC sales increase of 3% to 4%, which includes 2.5% to 3% negative currency impact. On the earning side our guidance remains for EPS to come in between $4.77 and $4.80. And as a reminder this includes approximately $0.15 per share impact from unfavorable exchange rates and the related increase in our overall tax rate. So that would conclude our remarks at this point and we’ll turn the call back to Jackie to take your questions. Jackie?
Operator: [Operator Instruction] Our first question comes from the line of Seth Basham with Wedbush Securities.
Seth Basham: Good morning.
Tom Gallagher: Good morning, Seth.
Carol Yancey: Good morning.
Seth Basham: My question is on the Auto business, I’m trying to get a sense of your view of the slowdown in the comp sequentially from the last quarter given the miles driven strength. Do you think its industry wide phenomena or do you think it’s only a supply chains issues are the primary factor hurting you this quarter?
Tom Gallagher: So, Seth, I’ve taken and may be in a couple of buckets. Certainly we are up against some really tough comps, we knew that going in. First quarter was our strongest of the year, last year. So I’d certainly say that had an impact. Two, I’d say, some of the key product line disruptions that we experienced along with the West Coast port issues cost us in the first quarter. And I don’t think that will be strictly relegated to GPC and NAPA, I think, that will be felt by others, as well. The energy sector had an impact for sure, Seth. Some of the – certainly Texas which is what everybody thinks about when they think about the energy sector, but parts of the Mountain Division for us, as well as some parts of Canada, certainly Alberta, Canada were impacted, as well. And then last but not least, the one that we always chat about and that’s the weather, the weather was of no help at all to us, we don’t think in the first quarter.
Seth Basham: That’s helpful. So do you quantify those three buckets in a Asia perform [ph]?
Tom Gallagher: I don’t think we’re prepared to do that at this point of time, Seth.
Seth Basham: All right, no problem. Thank you very much.
Carol Yancey: Thank you.
Operator: Our next question comes from the line of Greg Melich with Evercore ISI.
Greg Melich: Hi thanks. I want a follow-up a little bit about the Auto trends and tie it through to margins and working capital. Given that retail is driving a lot of growth, I would sort of expect gross margin that maybe be better given that there’s basically the deflation in the buy. Could you help us understand why margins are not expanding in Auto? And then the tide in the working capital, there were this increase in payables. Should we assume that this is a good run rate is there a steady point of an AP ratio that you target Carol?
Carol Yancey: Yeah, I guess I’ll start with the margin first. So we mentioned that decline in gross margin on a consolidated basis was solely related to the Office Products decline that you saw in the operating margin. So that would lead you to assume and while we don’t disclose it separately is that the non-office businesses were either flat to up slightly. So we actually were pleased with the automotive gross margins this quarter and the progress we’ve made. So, I would say that a lot of our initiatives and some of the impact that we talked about earlier with transactional FX headwinds that we had in Q4. Our teams did a lot of hard work in that area. We continue to have the usual customer product mix, but I think a lot of our initiatives are helping us to show that improvement. But honestly, where we – when we only have a 3% sales increase, it’s hard for us to get that operating margin up 10 or 20 basis points. So, we would still look for that on balance for the rest of the year. But I think we were pleased to keep the margins flat in automotive in light of what the comp sales increase was. And then the second question on the working capital, we were pleased with the progress that we made. And I think when we’re looking at the rest of the year; we would say that there would be improvement. We’ve reiterated our guidance on the working capital and the cash flow, but I think we saw some better results coming through on the first quarter. So, if we can continue to do the job with payables and inventory, I think you’ll see a continued improvement.
Greg Melich: And then on the receivables, is there any particular thing driving the growth with a certain category or new terms of certain customers?
Carol Yancey: Really, that’s been specific. I think again as we look towards what we’re seeing in receivables, we just try to make sure that again if its customers are certain programs that we’re getting the corresponding offset on the payable side with our vendors.
Tom Gallagher: And Greg I would…
Greg Melich: And then last one if I could and then I’ll let someone else. Yes…
Tom Gallagher: Greg, I would just add to that. I think we would expect that the receivables will improve sequentially and be more in line with the overall revenue growth as we get towards the second half of the year.
Greg Melich: And then, Tom, you mentioned if there’s one area where you think it’s on the lower end and it’s Industrial and Electrical. Could you point us to why specifically that is other than just may be energy a little bit, is there industrial production or other things that you think look a little softer? Thank you.
Tom Gallagher: Yes in fact we do think oil and gas will continue to be a headwind. And that’s got a fairly long tail, it’s not just the number of rigs that are running. When you think about that it also extends into steel, for instance, I’ll referenced steel in my comments earlier, none of those pipes are being purchased to go down in the wells and extends into some of the other customer segments additionally. So that would be one thing. And then with industrial production and capacity utilization and the Purchasing Managers Index, we did see some moderation. As the quarter progressed, we were pleased to see a slight uptick in the March industrial production from the revised February industrial production, but we just want to be a bit cautious. And as I mentioned in my comments, we do track to the best of our ability what we would refer to as project work. And we are a bit encouraged by the fact that both the number of projects in-house and the dollar amount are showing nice increases and hopefully they worked their way through the income statement in the months ahead.
Greg Melich: Great, thanks a lot.
Tom Gallagher: Thank you.
Carol Yancey: Thanks, Greg.
Operator: Our next question comes from the line of Aram Rubinson with Wolfe Research.
Chris Bottiglieri: Hi, this is actually Chris Bottiglieri on for Aram Rubinson.
Tom Gallagher: Good morning.
Carol Yancey: Hi, Chris.
Q – Chris Bottiglieri: Good morning. I just had a quick question on the Automotive business, can you give us a update on the independence if you’re seeing any kind of pick up in [indiscernible] switching on the NAPA brand, or if you’re just seeing any increased number of conversations being held?
Paul Donahue: Yes, Chris, this is Paul. For sure the – what we’ve got a good deal of activity that’s continuing on that our team has involved in and the field that. And honestly, we’re quite pleased with the progress that we’ve seen both really in the second half of last year as well as in the first quarter of this year. And I would tell you that we don’t see that activity slowing down at all. As a matter of fact, we’re optimistic with what we see ahead of us in 2015.
Q – Chris Bottiglieri: Got it, thanks. And one longer term question I have. You see this is like an overall sense on your kind of long-term view of the independent business as some of these businesses owners are getting retired. Are you seeing them kind of pass down their businesses within the family to selling to other independent? Or do you think like [indiscernible] this could become a pipeline for GPC Company on service down the road?
Tom Gallagher: I will try to answer that, Chris this is Tom. I think it’s a combination of all of the things you referenced. The way we work with our independent owners is that we try to stay very close to them not just operationally, but also with their succession planning. And if they don’t have someone in mind to pass the business down to another family member perhaps or good long-term employee then, we’ll work with them to identify another independent that might have an interest in buying their business and we’d have several different programs available to help facilitate that. And then if in fact we don’t come up with someone that should have opt to buy the business, we’ll certainly step in and buy it, and in many cases we’ll run it for a period of time, until we find a good locally based independent to run the business from that point on.
Chris Bottiglieri: Okay, very helpful. Thanks for your time.
Tom Gallagher: Thank you.
Carol Yancey: Okay, Chris.
Operator: Our next question comes from the line of Mark Becks with JP Morgan.
Mark Becks: Hi, can you talk about the cadence in Automotive over the quarter and perhaps in the April if you’re willing to address, I know March was – last year was strong. But just interested in the trend, trying to get a better understanding of why you’re expecting that business to accelerate from here?
Paul Donahue: All right, yes, Mark, this is Paul. I would tell you that throughout the first quarter it was pretty consistent, from January, to February to March, but we did see a little bit of a lift in the final two weeks of March for sure, which really that along with the extra selling day that we had in the month of March, gave us a record sales month. So I'm not prepared to talk about April, but we would hope to see that performance move into Q2.
Mark Becks: And then as a quick follow-up to that, can you talk about the trend in North East business, and did that experience a similar rebound to the overall business, or is that still tracking pretty softly?
Tom Gallagher: I think most of our regions showed some pick up in the second half of March as Paul referenced. And also as he referenced, we continue to see headwinds in the energy related areas. But much of what we experienced in the first quarter was transitory. If you think about the comps, the comps get a little bit easier, they were strong all year along, but they get little bit easier as we work our way through the year. Certainly the impact of the weather will moderate as we work our way through the year and the impact, just for clarification, the impact issue is that we did not have the extreme temperatures over the period of time that we had in the early part of Q1 last year. What we did have is there is a lot of ice and a lot of snow that had a negative impact on all of our businesses frankly because we had a number of closures, both our own facilities, as well as customers’ facilities. So we’re through that at this point and some of the supply chain disruption that Paul referenced will moderate as we work our way over the next couple of months. So you know, we gave you the number for the quarter we also gave you the guidance for the year, and the guidance for the year suggest that we expect our Automotive business to pick up in the remaining three quarters of the year.
Mark Becks: Yes, so just to be clear it seems like the port shutdown and the supplier issues, while still not completely gone there at the margin improving?
Tom Gallagher: They are improving somewhat, that’s right.
Mark Becks: Okay, and then just last housekeeping, can you remind us what the Texas exposure in NAPA, and then the overall any MI exposure to oil and gases?
Tom Gallagher: Yes, we don’t give that out, but we have said in the past that the direct exposure for Motion industries is low single-digit, but the hard number to really get to is the indirect exposure. And what I mean by that, I referenced earlier that certainly the rig operators, our business with them is down, but then if you went to the steel side of things, all of the demand for new piping to go down hole that’s gone. Some of the pumps and motor demand that would be the anomaly that’s diminished and then what we don’t and can’t quantify is that when you have the massive number of layoffs specific to that segment, you have all of those workers that are for the most part moving in other areas, but that takes the demand out of the areas that they were in and it doesn’t get replaced one-for-one into the areas that they move to, so you see the ripple effect of that. And we see that back up on other manufacturing customers. So it’s hard to get a true number, but the direct absolute impact we know is in the low single-digit. And then it ripples beyond that.
Mark Becks: Okay, thanks for those comments and good luck.
Tom Gallagher: Thank you very much.
Carol Yancey: Thank you very much.
Operator: Our next question comes from the line of Chandni Luthra with Goldman Sachs.
Chandni Luthra: Hi, this is Chandni Luthra on behalf of Matt Fassler. Very quickly guys, could you contextualize if there was any impact from shift of Easter?
Paul Donahue: Well certainly, we’ll see that impact in April, but not really much in Q1.
Chandni Luthra: Got it. And the 3% growth that you talked about on comps that’s inclusive of the extra selling day in the month of March, right?
Paul Donahue: Yes, it is.
Chandni Luthra: Perfect. And then lastly, could you throw some color on you DIY initiatives that kind of helped your margins to hold their own? Thank you.
Tom Gallagher: I think Paul might reiterate the comments he made earlier about some of the things we’re doing.
Paul Donahue: Yes, thanks for the question. Basically, some of the things that we’re doing on the retail side, really it’s not right at the time we’re focused on the basics and the basics as I mentioned in my opening comments, simply are to ensure our stores are well stocked, ensure our planograms are up to-date, ensure our people are well trained on the floor and ensure our stores are open when customers want to shop them. And so it’s many of those basics that we have reinforced with our team and our company-owned stores and we’re pleased with the progress that we’re seeing, we saw it throughout last year and we continue to see in the first quarter of 2015.
Tom Gallagher: And also I want to go back on the question about did the comps include the extra day in March, yes they did, but in the quarter, we had the same number of dates for the quarter, we were short one day earlier in the quarter and we picked it up in the month of March. So the comps are comparable.
Chandni Luthra: Got it, thank you.
Paul Donahue: Thank you.
Tom Gallagher: Thank you.
Carol Yancey: Thank you.
Operator: Ladies and gentlemen we have one more caller on the line, your final question comes from the line of Bret Jordan with BB&T Capital Market.
Bret Jordan: Hi, good morning.
Carol Yancey: Good morning, Bret.
Paul Donahue: Good morning, Bret.
Bret Jordan: Hi, Carol if we looked that accounts payable to inventory for the Auto segment alone, where would that number be?
Carol Yancey: Good question Bret. I would – we don’t give it out by segment I would tell you that as you know it’s more prevalent in automotive industry with the extended terms programs with the supplier. So a lot of our improvement is coming by way the Automotive Segment, but I would tell you also that all of the segments have programs going on and we visited with our teams and each one is them be it Office, be it Industrial, all have programs going on with their suppliers. So we looked at our AP to inventory and it’s 87% at the end of the quarter, it was 84% at the end of the year and 79% a year-ago, and I would tell you again that we don’t give it out by Automotive, but they’ll certainly be higher than that.
Bret Jordan: Okay. And then the question for Paul, I guess as you look at the quarter and it didn’t have as much temperature-driven product sales as last year in Auto. I guess, if you look at the extreme weather and what we did to things like road condition, do you think that the net impact of the first quarter’s weather would be positive and that under-car and ride control and some of the categories that might benefit in the second quarter. We’ll pull through or do you think is just a net negative and weather for 2015?
Paul Donahue: Well, Bret great question, honestly we’re banking on some of that improvement coming in the second quarter. I think I mentioned to you we saw our battery business really take off in the month of March which we did not have in January and February. And we would hope for the same in some of the other key more weather related products as well.
Bret Jordan: Okay, getting a little more granule, I guess, if you look at things that might be seasonally positive, how we are looking nationally on things like temperature control right now are we setting up I guess we’ve had some normal weather on the West Coast for a favorable year-over-year comparison in some of those summer categories or just to where they are now?
Paul Donahue: Too early to tell Bret, I would tell you that that category was down slightly in the first quarter. And again we all keep an eye on the weather charge and we’re hoping for some warmer weather this summer. And if we get it, we think our owners and our stores will be well stocked with heating and air conditioning type products and we’ll take advantage of it.
Bret Jordan: Okay, and then one last question for Tom, I guess, you mentioned that pending projects were up substantially, I think for motion. Could you give us a little color and may be what’s driving that.
Tom Gallagher: Well, I think, our customer base, let me back up first Bret. What we call project work is a lot of times our customers will have plans to do some major refurbishment on a piece of equipment or take a line down to refurbish the line. And they let us know in advance of what their plans are, so that they can be sure that we’ve got all of the product that they may need, when they get into the actual work. So we tried to track as best we can the number of those that we’ve been notified of and also the estimated value of the work. So, we see a nice increase both in terms of numbers, as well as in terms of the dollar value. Now not all of them come to fruition we have seen some overtime we’ve seen some that we’re plan get differed. But with the increase that we see right now we would lead us to believe that over the next quarter or two, we’re going to see some nice project work flow through the revenue line. And what’s driving that as you know we’ve got an aging base of the equipment that’s out there, you’ve got all customers are looking to be more efficient in what they do. So I think it’s been driven by the business demands that they see with their end markets and wanting to be sure that they are in a position to avoid any downtime going forward. Unplanned downtime.
Bret Jordan: Okay, thank you.
Paul Donahue: Thank you.
Carol Yancey: Thank you.
Operator: Thank you. I would now like to turn the floor back over to management for any additional or closing remarks.
Carol Yancey: We’d like to thank you for your participation on the call today, and we thank you for your continuous support of Genuine Parts Company. We look forward to reporting back out in July with our second quarter numbers. Thank you.
Operator: Thank you, this concludes today’s conference call. You may now disconnect.